Operator: Good morning, everyone, and welcome to Grupo Televisa's Third Quarter 2024 Conference Call. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements and applies to everything that we discuss in today's call and in the earnings release. I’ll now turn the call over to Mr. Alfonso de Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso de Angoitia: Thank you, Elsa. Good morning, everyone, and thank you for joining us. With me today are Francisco Valim, CEO of Cable and Sky; and Carlos Phillips, CFO of Grupo Televisa. Before discussing our third quarter operating and financial performance, let me share with you what we believe are the key milestones achieved so far this year, both at Grupo Televisa and TelevisaUnivision. First, the corporate restructuring process at our Cable segment intended to improve profitability, optimize CapEx, increase free cash flow generation and position us well to achieve sustainable revenue growth over the coming years is already delivering results. The measures implemented so far have allowed us to improve profitability by almost 400 basis points to 39.4% relative to the third quarter of 2023 as we are confident that our Cable EBITDA margin will continue to expand gradually over the coming years due to ongoing efficiencies. Regarding CapEx optimization, our year-to-date cable investments of almost $290 million have declined by around 38% year-on-year, while our Cable CapEx to sales ratio of 14.4% is over 800 basis points lower than that of the same period of 2023. This streamlining and cable investments has been driven by a more disciplined subscriber acquisition approach, focused on value customers and a more efficient and rational expansion of our fiber network. During the first nine months of the year, operating cash flow from our cable segment, which is equivalent to EBITDA minus CapEx was over MXN8.8 billion, growing by almost 40% year-on-year and accounting for around 25% of sales. This implies that the operating cash flow margin for our Cable segment has increased by 750 basis points so far this year. The fourth quarter of the year is expected to be heavier in terms of CapEx deployment, but we expect to end the year below our revised 2024 CapEx budget for our Cable segment of $590 million, including $30 million for the reconstruction of our network in Acapulco, which we expect to be reimbursed by the insurance company. Second, the integration of Sky with our Cable segment to strengthen our competitive and financial position. On this front, we have already reorganized the structure of the combined company, allowing us to retain top talent and optimize duplicated roles. We have also started to implement synergies and efficiencies across several areas, including commercial, sales commissions, programming, IT, technology, finance and marketing, among others. This integration will also allow us to standardized regions, sales channels and commissions have a better customer-based management, increased productivity, achieve cross-selling and upselling, improved penetration of triple-play services and gradually reduce churn. The Sky restructuring and integration process has allowed us to cut OpEx by around 8.5% year-on-year during the first nine months of the year, while our CapEx deployment of $62 million has declined by 45%. Therefore, Sky's operating cash flow of over MXN2.5 billion was basically flat year-on-year, but accounted for 22% of sales. This means that the operating cash flow margin for Sky has expanded by 240 basis points year-to-date. All-in-all, Grupo Televisa's consolidated operating cash flow was around MXN11.3 billion, growing by about 27% year-on-year and accounting for around 24% of sales. This implies that our consolidated operating cash flow margin has increased by 620 basis points during the first nine months of the year. So, far this year, the OpEx and CapEx efficiencies obtained in our two consolidated businesses and a leaner corporate structure have allowed Grupo Televisa to generate over MXN6.3 billion in free cash flow. We view this as a great achievement as it represents a nine-month free cash flow yield of around 25% and for our consolidated operations. And our third major milestone has been to turn our direct-to-consumer business VIX profitable during the third quarter of this year. Our DTC business is growing and scaling with our most important metrics trending in the right direction with most of them ahead of plan. We added users and subscribers grew engagement, reduced churn, and generated significant marketing savings driven by our efficient customer acquisition funnel through our free tier. Therefore, during the third quarter, we already delivered the major milestone of a profitable DTC business only two years after launching the service compared to five to five years for our peers. Achieving this milestone was an essential step in our transformation phase for TelevisaUnivision. Now, the next big opportunity for value creation is to build on this foundation through further integration and operational optimization of the business. There is significant value to be unlocked in this new phase, but the opportunity comes with unique challenges. With this in mind, we initiated the TelevisaUnivision succession planning process earlier this year, looking for a leader with a unique combination of skills and expertise that is not easy to find an executive. Someone who speaks Spanish has vast business experience across the U.S., Latin America, and Mexico, in particular; has track record managing large-scale global enterprises; and has deep knowledge of the media and technology sectors. We are thrilled that Daniel Alegre has joined us as TelevisaUnivision's new CEO. Having said that, let me turn the call over to Valim, as he will discuss the operating and financial performance of our consolidated assets.
Francisco Valim: Thank you, Alfonso. Good morning, everyone. First, let me walk you through the operating performance of cable operations. We ended September with a network of 19.9 million homes after passing around 86,000 new homes during the quarter. In the third quarter, we continued to execute our strategy to focus on value customers rather than volume, while working on customer retention and satisfaction. Our third quarter broadband net adds remained relatively stable on a sequential basis at 11,000. On the other hand, we lost 55,000 video subscribers. During the quarter, net revenue from our residential operations, which account for around 89% of Cable revenue decreased by 1.6% year-on-year, as we lost some revenue given the cancellation of Afizzionados video package during the second quarter and due to the ongoing negative impacts from Hurricane Otis in Acapulco, as some customers are not paying their bills yet. Net revenue from our enterprise operations, which account for around 11% of total Cable revenue declined by 22.6% year-on-year, as we didn't renew an important government contract during the quarter. However, on a sequential basis, net revenue from our enterprise operations remained relatively stable for a third consecutive quarter. Now let me walk you through Sky's operating performance. During the third quarter, Sky's product portfolio continued to be under review from the content and pricing standpoint, translating into a softer commercial activity. Therefore, we lost 270,000 revenue-generating units, mostly coming from prepaid subscribers that had not been recharging their services. We still – we are looking to reactivate our commercial strategy after integrating our product portfolio, commercial regions and sales channels with our Cable segment. This should contribute to gradually reduced churn by having a better customer base management and allowing us to take advantage of cross-selling and up-selling opportunities. The Sky’s third quarter revenue, up MXN3.7 billion fell by 13.2% year-on-year, mainly driven by a soft commercial activity. To sum up, segment revenue of MXN15.4 billion fell by 6.3% year-on-year, while operating segment income of MXN5.7 billion declined by 4.7%. Our operating segment income margin of 37.1% expanded by 60 basis points year-on-year, mainly driven by the efficiency measures that we have been implementing since third quarter of 2023. Regarding CapEx deployment, our total investment of MXN2.4 billion during the third quarter fell by 17% year-on-year. So our CapEx to sales ratio of 15.8% was over 200 basis points lower than that of the third quarter of 2023. Finally, operating cash flow for Cable and Sky, which is equivalent to EBITDA minus CapEx was MXN3.3 billion in the third quarter, increasing by 7.2% year-on-year and accounting for 21.4% of sales. This basically means that our operating cash flow margin increased by 270 basis points year-on-year.
Alfonso de Angoitia: Thank you, Valim. Now let me walk you through TelevisaUnivision's third quarter results released on Tuesday morning. The company delivered another quarter of top line growth, with revenue of around $1.3 billion, increasing by 2% year-on-year and EBITDA of $427 million growing by 4%. This shows a solid improvement over the first half of the year as we have moved to consolidate EBITDA growth, mainly driven by achieving profitability in our direct-to-consumer business during the third quarter. FX neutral, TelevisaUnivision's revenue and EBITDA increased by 6% and 7%, respectively. Moving on to the details of our revenue performance. During the quarter, consolidated advertising revenue increased by 3% year-on-year. In the US, advertising revenue was 5% higher, driven by growth in DTC and record-setting third quarter political ad dollars, which added 300 basis points to our top line growth. Within ViX, a strong soccer lineup helped drive a 30% increase in ARPU even as we continued to expand our user base. Sellouts on ViX remain at around 90%, and we effectively leveraged cross-selling opportunities, achieving an 80% attach rate with linear advertisers during the quarter. In Mexico, advertising revenue declined by 1% year-on-year, driven by the depreciation of the Mexican peso. FX neutral advertising revenue in Mexico increased by 10%, reflecting the third-party ad inventory we acquired at the start of the year, which contributed with approximately half of this growth. During the quarter, we took advantage of top-performing content across sports and entertainment. In sports, we had strong demand for Copa America, while revenue from the Olympics almost doubled compared to the last cycle. In Entertainment, Season 2 of La casa de los famosos México broke viewership and engagement records with over 50 million viewers tuning in throughout the season. During the quarter, consolidated subscription and licensing revenue grew by 1% year-on-year. In the U.S., subscription and licensing revenue grew by 6%, driven by Vix where we posted strong subscriber growth. This more than offset a low single-digit decline in linear subscription revenue. In Mexico, subscription and licensing revenue fell by 12%, mainly due to the depreciation of the Mexican peso. FX neutral, subscription and licensing revenue in Mexico declined by 4%, primarily driven by global content licensing, all of which runs through Mexico. This decline reflects some strategic decisions to be made not to sublicense certain sports content to other platforms. We also experienced weakness in linear platform subscribers partially offset by subscriber growth in ViX's premium tier. Looking ahead, the TelevisaUnivision's next phase will be focused on further integration and operational optimization. And we already have a clear path to achieve this. First, we need to drive further efficiency and integration across products and geographies. Second, we have to evolve to a content-first company that is platform agnostic. We need to be prepared to connect with our audiences wherever they choose to engage, particularly as cord cutting structurally changes the value proposition of linear. This means more efficient content windowing strategies and evolving our sales and marketing organizations to be more solutions than platform-oriented. Third, we need to evolve into a more data-driven company that monetizes on our differentiated audiences and on the rich data and insights on these consumers. All of this will require hard work, but it will bring substantial opportunities for growth and improved efficiencies. Having said that, we're conducting a detailed review of our investments and operations, identifying areas where we can streamline and optimize resources. As a more integrated multi-platform company, we believe -- there are considerable efficiencies to be unlocked, allowing us to enhance profitability while maintaining our competitive edge. This focused approach will position us to invest in key growth areas further innovate and achieve better results. To sum-up, we have a clear mandate from the TelevisaUnivision Board to increase efficiencies, generate cash flow and reduce leverage. Daniel, Juan Pablo and I are focused on all of those efforts and on getting them executed. To wrap up, Bernardo and I are confident that this year's focus on free cash flow generation at Grupo Televisa and the implementation and execution of our next phase focused on further integration and operational optimization at the TelevisaUnivision will allow us to create greater value for our stakeholders. At Grupo Televisa, will continue to be laser focused on integrating Sky with our cable segment, streamlining our combined operations, strengthening our competitive position and enhancing free cash flow generation. A more efficient CapEx deployment focused on higher investment returns lead us to feel confident that free cash flow generation for the full year will remain strong. And that the TelevisaUnivision, now that our DTC business has achieved profitability, we are confident that additional value can be unlocked through further integration and unification of both our content business and our geographies. Now we are ready to take your questions. Elsa, could you please provide instructions for the Q&A
Operator: We will now begin the question-answer session. [Operator Instructions] And our first question comes from Marcelo Santos with JPMorgan. Please go ahead.
Marcelo Santos : Hi. Good morning. Thanks for the opportunity to my questions. I have two. The first is on TelevisaUnivision. I think you mentioned right now that efficiency in the deleveraging are the key objectives you expect to achieve. Could you please just give us a bit more color on how to implement this? So that's the first question. The second question is about the competitive environment in broadband. Maybe to Valim. So how is this unfolding? And could you please discuss a bit deeper the trends in churn is how they evolved from the second quarter when you saw an uptick? Thank you.
Alfonso de Angoitia: Thank you, Marcelo. I'll ask Valin to answer the second question. As to your first question, that has to do with the TelevisaUnivision, what you have said is correct. The efficiency and the deleveraging will become our top priorities. This is an important turning point, I would say, and the beginning of a new phase, we have to reinvent and rethink the way we run the company. This means we no longer are going to grow at any cost. We should have abandoned that some time ago, but we didn't. This requires a refocusing and repurposing of our business. We need to implement broad cost-cutting initiatives across the Board to material -- I mean, basically to materially improve free cash flow generation and to be able to reduce leverage over the coming quarters. So this is going to be Daniel Alegre's top priority. And I'm going to be focused also on that. As to your second question, please, Francisco, can you answer?
Francisco Valim: Marcelo, in terms of the competitive environment, we see a very rational environment here in Mexico. Prices are stable. Some competitors are even increasing prices at given speeds. So we see a rational market, very competitive where all players are playing in a way that they can try to maximize revenue growth. As for churn that you mentioned, we had literally spike in churn given to our price increase, which is typical whenever you have a price increase, you have those reactions, but they are already going back to historical levels.
Marcelo Santos: Perfect. Thank you, very much.
Operator: And our next question comes from Vitor Tomita with Goldman Sachs. Please go ahead.
Vitor Tomita: Hello. Good morning and thank you for taking our questions. We have 2 questions from our side. The first one is on operating segment margin for the quarter, if you could give us some more color relative to the margin performance in this quarter relative to the second quarter. And in particular -- in particular, regarding the progress of efficiency initiatives concerning Sky and how much the restructuring at Sky already benefited this quarter and how much you believe it could further or start to benefit results in the next quarter at the margin level? And also, could you give us a sense of how in cable bad debt provisions are behaving for Cable and Sky, I guess, and on whether bad debt has been a relevant factor for margin performance this quarter. Thank you very much.
Carlos Phillips: Thank you, Vitor. Yes. Francisco can expand on this, but I would say that bad debt has not been an issue and has not affected our margins materially. What I can say is to the margins, our operating segment income margin has expanded by 60 basis points year-on-year due to the ongoing efficiency measures that we have been implementing since the third quarter of 2023 in our cable segment when Valim took over. In addition, the headcount reduction implemented in the second quarter of this year following our acquisition of AT&T's minority stake in Sky and other synergies and efficiency measures that we implemented have allowed us to basically cut our OpEx structure by over 7% year-on-year during the third quarter. This is a huge number if you consider the OpEx structure of the companies. Going forward, we're likely to experience gradual margin expansion, and this is the most important point, as we keep improving our sales channels mix to digital from physical and cable and also as we continue integrating Sky with our cable segment and as we renegotiate contracts with content providers. I can also say that on a sequential basis, our operating segment income margin contracted by 60 basis points as the pace of sequential revenue decline at Sky and that was faster than the realization of synergies. However, and to end my comment, I would say that, we would expect that to change over the coming quarters as further synergies should be obtained. I don't know if Francisco, if you want to add something.
Francisco Valim: All I think that's exactly perfect answer.
Vitor Tomita: Thank you very much. Just a follow-up, if I may. Do you have a sense of how much of the efficiencies was already realized in this quarter from the Sky integration? And how much is still left to be realized in further quarters?
Alfonso de Angoitia: We should have -- by the end of the year; we should have all of our platforms integrated. So when we see the full year of 2025, that's when you'll see the full benefit of the synergies between izzi and Sky. Obviously, right now, we are even incurring in additional expenses while we integrated two companies.
Vitor Tomita: Very clear. Thank you very much.
Operator: Our next question comes from Phani Kanumuri with HSBC. Please go ahead.
Phani Kanumuri: Thanks for taking my question. So the first one is regarding your free cash flow generation, in terms of free cash flow from operations and the cash flow, it seems that you have done a very strong 9M 2024 versus 2023 with about $22 billion of free cash flow from operations. So can you guide me how you're able to generate such a strong free cash flow from operations despite your EBITDA are decreasing? That's the first question. And is there any one-off in this free cash flow generation. The second one is on price increases. Do you see any scope for price increases this year?
Alfonso de Angoitia: Thank you, Phani. Yeah, I'll ask Carlos Philips to answer your first question. As you have seen in our numbers, our top priority, as we discussed throughout the year was -- in respect to free cash flow generation, I think we have obtained amazing results, and you can see that in the numbers, and you'll see that in the fourth quarter as well. But Carlos can expand on that. And then as to the second question that has to do with prices, I'll ask Valim to answer.
Carlos Phillips: Well, thank you for the question. And as you pointed out, our free cash flow has strengthened significantly in the past couple of quarters, especially when you compare it versus last year. If you go from the top to the bottom, I think the most important aspect has been and as Alfonso and Valim had also mentioned many of the operational efficiencies we've been working on in terms of the execution and operation in Cable, in Sky and the corporate and izzi. So that has led to an increase in the operating cash flow. That meant leaner operations, better inventory management, very more efficient working capital management as well. And then there's also two very important factors in terms of the cash flow to get to the free cash flow, which is the CapEx efficiency. We've discussed this in many of the previous calls, but there's been a laser focus on being very efficient in terms of the CapEx deployment of the company, the cash CapEx deployment. So that's also boosted our free cash flow significantly. And then in addition, we've also done a lot of streamlining in terms of the corporate organization and in terms of the -- our tax expenses in terms of cash. So that's also been a significant improvement versus last year. So when you combine all of those factors, that's how you see this significant improvement in free cash flow that we had so far this year compared to year-to-date last year.
Alfonso de Angoitia: And Francisco?
Francisco Valim: In terms of price increases, we have seen the price increases here and there. We haven't seen -- we have had our price increase in March of this year. What we anticipate having moving forward is by adding new products, which we are already bringing to market now in October and November, just like revamping mobile, having a more engaged in selling [Indiscernible]. So, those things will add to our revenue pool in terms of increasing ARPU more so than increasing as a pass-through inflation. So, that's the plan at this point.
Phani Kanumuri: Okay. Just a couple of follow-ups. So, in this quarter, we -- I think you seem to have a lower cash tax than in Q2, so has there been a tax credit in terms of cash this quarter? And in terms of CapEx, you said that you're expecting it below your budget. Do you think that is kind of sustainable going forward?
Alfonso de Angoitia: Yes. I'll answer your second question, and then Carlos will ask -- I will answer the one that has to do with cash tax. As to CapEx, a more efficient CapEx deployment focused on higher investment returns has led us to feel confident that our CapEx requirements for the full year will be $650 million. And that, as we have mentioned, includes $550 million in cable, $90 million in Sky, and about $10 million for corporate purposes. So, this year, most of our CapEx has been sales related. Therefore, if we maintain subscriber gross adds at a reasonable level and further reduce churn, we should be able to have low single-digit subscriber base growth in the medium term with rational CapEx intensity. Now, having said that, we believe CapEx to sales this year should be close to around 20% in 2023, CapEx to sales already had declined to 23% from almost 27% in 2022. So, Valim has done an amazing job at rationalizing CapEx, and this has been the result. So, as to the tax question, I'll ask Carlos to answer.
Carlos Phillips: Yes. As you could see from our third quarter press release, there was a decline in our income taxes in this quarter, but the decline has to do a little bit from the following factor, which is in the third quarter of last year, we recognized an income tax expense they had to do -- it was a non-cash expense that had to do with taxes from previous years that we have to discount. So, that was a non-cash charge that was in the previous year. But that's in terms of the accounting reduction in income taxes this quarter. But as we mentioned in previous -- in the previous answer in terms of cash flow, we are seeing a decline in the cash tax payment quarter-by-quarter as well compared to last year.
Phani Kanumuri: Thanks.
Operator: Our next question comes from Carlos de Legarreta with Itau. Please go ahead.
Carlos de Legarreta: Hi, thank you and good morning. I have two on my end, please. The first one within Sky, I was wondering if so far during October, have you seen any signs of stabilization at the top line level? And secondly, and within cable, can you give us some color as to what has driven the soft trends within the enterprise segment? And I was wondering if you can detail what strategies are you undertaking to regain market share? Thank you.
Alfonso de Angoitia: Yes. Valim?
Francisco Valim: Sure. So, what we -- Sky, you have to understand that there is an issue with the technology that we have to deal with, meaning with the expansion of the networks here in Mexico, you have more people being offered different services. So -- and this has happened worldwide. So BPH [ph] had a rate of decline. So I don't think the word stabilization will be the one, but I think that the reduction of the decline is what we are focusing on. So the speed of decline of a technology that will eventually in the next, I don't know, five, 10 years, have a last subscriber than it has today. In terms of enterprise, the reason why the growth is not as significant as one would expect, it's just because we lost a bidding process for a major government entity here in Mexico. That's the biggest impact that we have had on enterprise. So those are the two factors diminish the rate of reduction of the subscribers at Sky with new products and more services and more content and also regain lost or compensating some of those losses at the enterprise level.
Carlos de Legarreta: Well, thank you, Francisco. But let me follow through on Sky. I mean, I think we're all very well aware of the secular trends that's going on within BPH, but my question is specifically during the month of October, have you seen any signs of stabilization in subscriber disconnections or you're seeing similar trends as to what we have seen so far year-to-date? Thank you.
Francisco Valim: Yes. We -- like I mentioned, we have -- we are relaunching some of those Sky mass products now in early November. So that, we think, will help us compensate for some of the losses that we have had on the subscriber -- mostly not the subscriber base, but the revenue base generated by mostly repaid subscribers at Sky.
Carlos de Legarreta: I appreciate the color. Thank you.
Operator: Our next question comes from Matthew Harrigan with Benchmark. Please go ahead.
Matthew Harrigan: Thank you. I'm sure you're well aware, Netflix set a mild subscriber lawsuit in LATAM. Some of that was attributable to price increase. I know that you're much more AVOD centric already, and you've got huge advantages on sports with football as well as news but can you comment on competition on DTC, including in the US with Xfinity making effort with Telemundo side? And then lastly, I know this is pretty peripheral right now. But is there anything of interest going on with your ventures portfolio? I know you're much more focused on improving the core business, but I was just curious, if there might be anything going on there that's worthy of note. Thank you.
Alfonso de Angoitia: Yes, Matthew. On the direct-to-consumer side, I think we have done great with ViX and with our digital offerings. You're right in the sense that ViX has become a very powerful offering in terms of AVOD. But the subscription side of the business has also proven to be very successful. And there is more competition, both in terms of the offering of streaming services in Spanish and also on the production of contenting in Spanish. But I think that two of the greatest things that we have are the Televisa library, which is the world's largest library in Spanish content in the world, and that has proven to be extremely efficient, extremely powerful in terms of our audiences on AVOD and SVOD and also, I mean, of course, the factory that we have in Mexico, which, again, is the largest and most prolific factory of content in Spanish in the world, we produced large quantities of content at a very attractive production costs. So I believe that considering those two assets even with more intense competition on the direct-to-consumer front, we're going to be successful. Now ViX has become the largest streaming platform in Spanish in the world in just two years, and we feel very proud of our accomplishment in the case of ViX because for the second quarter in a row, this platform that has been going on for just two years, has been profitable. So I think with those assets that we have, including, as I mentioned, the IP and the soccer rates that we have put together. We're going to continue to be very successful with our DTC offering. And can you repeat the second question, Matthew, because I did not get it.
Matthew Harrigan: A few years ago, your venture portfolio was somewhat of a focus and it was far neglected by the Street. I know you're much more focused on your core businesses right now. But is there anything in the longer-term?
Francisco Valim: Sorry, Matthew. Yeah, I guess, you're talking about the deals we have done and we continue to do in respect to media for equity and creating this venture portfolio. So what I can say is that, we have expanded what we have done in the past, and we have a very attractive portfolio of assets, specifically of stock of companies, especially technology companies, especially on the financial sector in Mexico of new banks. So we will continue to expand that. We have been very actively doing those type of venture investments and most of those are media for equity deals.
Matthew Harrigan: Great. Thank you. Apologies for the bad connection.
Francisco Valim: Thank you.
Operator: Our next question comes from Eduardo Amico [ph] with JPMorgan. Please go ahead.
Unidentified Analyst: Hi. Good morning. Thanks for taking my question. I actually wanted to discuss capital allocation because I see, obviously, your cash flows are stronger now. You do have a sizable cash position but your gross that is also high. I was wondering if you guys are considering reducing the gross amount of debt or how you're thinking about keeping such a large cash position? Thank you.
Francisco Valim: Eduardo, thank you for your question. I'll ask Carlos to answer it.
Carlos Phillips: Yes. Hey, Eduardo. And this will be consistent with what we said in the past couple of quarters. We -- most of the cash flow generation and the cash loans that we have is going to be directed at strengthening our balance sheet and reducing debt. Ever since we did the transaction with Univision, when we receive the proceeds, we've been deploying that cash to reduce our net leverage. And the idea is to continue in that direction. We have a strong liquidity position, as you point out. We have a large cash balance, which is mostly denominated in dollars. But we have a net debt leverage ratio of around 2.5 times that we want to make sure that we keep there or below. As we've mentioned in the past, our investment grade ratings are very important to us. And as you've seen from rating agency actions recently, they also have a keen focus on deleveraging, which is going to be our key objective for the cash generation going forward.
Unidentified Analyst: Got it. And then just a follow-up. I guess you're comfortable with the net level, but on the gross level, you're also comfortable where you are right now?
Francisco Valim : Yes. I mean as we start to deploy cash to reduce that doesn't obviously move down, but the idea is to focus on the net debt level primarily.
Unidentified Analyst: Thank you very much.
Operator: Concludes our question-and-answer session. I would like to turn the conference back over to Mr. Alfonso de Angoitia for any closing remarks.
Alfonso de Angoitia: Thank you very much for participating in our call, and let us know and call us if you have any additional questions. Have a great weekend.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.